Operator: Good day ladies and gentlemen and thank you for standing by. Welcome to the ComScore First Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] At this time, I would like to turn the conference over to Mr. John Tinker. Sir, please begin.
John Tinker: Thank you, operator. Before we begin our prepared remarks, I would like to remind all of you that the following discussion contains Forward-Looking Statements. These forward-looking statements include comments about our plans, expectations, and prospects and are based on our view as of today, May 10, 2022. Our actual results in future periods may differ materially from those currently expected because of a number risks and uncertainties. These risks and uncertainties include those outlined in our 10-K, 10-Q and other filings with the SEC, which you can find on our website or at www.sec.gov. We disclaim any duty or obligation to update our forward-looking statements to reflect new information after today’s call. We will be discussing non-GAAP measures during the score for which we have provided reconciliations in today’s press release and on our website. Please note that we will be referring to individual slides on this call, which are also available on our website. I will now turn the call over to comScore as Chief Executive Officer, Bill Livek.  Bill?
Bill Livek: Thank you, John and thank you all for joining us today. I’m very proud that we delivered another solid quarter of results in our first quarter. As a reminder, this our first quarter that we are operating under our new Solutions Group. Our focus is on measuring content and ads, with the goal of enabling the planning and activation of media in a privacy forward way across all screens, television, connected TV or CTV, digital, mobile, and of course, the movies. We are pleased to report that we grew revenue 4% year-over-year to $94 million and adjusted EBITDA our growth at 22% to 6.8 million versus 5.6 million a year-ago. Some of the highlights in the quarter include NBCU certifying comScore as a local TV currency provider across all of their owned and operated and affiliate group stations. Additionally, effective announced comScore will be using us for local TV measurement currency. We also inked an enterprise deal with Sinclair for the licensing of our CCI service, comScore Consumer Intelligence for local markets, which provides an unrivaled cross platform view of consumer retail visitations and online shopping tied to television viewing behavior at the local market level. And our momentum continued in this current quarter with the expansion of great television for 10 of the recently acquired markets. We also continue to make progress in accelerating our privacy forward offerings, within predictive audiences. We are partnering with IRI to bring their CPG audience segments into our activation solution. This provides the best-in-class audience targeting within contextually relevant digital experiences in a cookie free, privacy forward manner. We are also happy with our progress to date on comScore Campaign Ratings or what we refer to as CCR with CCR advertisers can truly understand their audiences and advertising campaigns across platforms with deduplicated reach and frequency metrics that allow them to align their spend and achieve more specific and accountable campaign specific KPIs and a higher return on their overall investment. Our CCR partnership with YouTube continues to progress. One highlight this quarter was a program where we measured cross platform advertising performance around the Super Bowl. This included PC, mobile and connected TV. The program included 10 major brands across cars, travel, software, dining and food service. comScore CCR was the primary measurement used to specifically identify incremental advertising reach across YouTube before, during and after the actual Super Bowl TV broadcast. On the digital side, with the integration of our social media service sharable into our digital offerings, we have named Tanya Yuki as our EVP of Digital to focus on expanding our product solutions and driving revenue growth in this key strategic area for us in 2022. As most of you know, Tanya rejoined comScore when we acquired terribly in December of 2021. In the quarter Warner Brothers discovery announced that they would be launching, they are now joint upfront with comScore as an alternative currency provider with three very large national agencies. Also in the quarter NBCU named comScore as a certified provider for local currency measurement, the only provider they certified for local. In April Comcast Cable’s had sales division effective and outstate use comScore for local TV measurement as a currency joining the growing ranks of TV players offering measurement alternatives to write deals on. In connection with our charter arrangement, Spectrum Reach has rolled out comScore as their preferred television currency in all 89 markets, including New York and Los Angeles. With this we believe more ad agencies and brands will switch to comScore to buy TV advertising. Local stations continue to subscribe to comScore for stable and reliable currency. It is also worth pointing out that local TV stations should benefit this year from an estimated three billion plus bump in political advertising, in many of them to continue to be very vocal about actively looking for our new currency to base their advertising inventory transactions on. Also in the quarter, we expanded our relationship with Vizio TV, this with a multiyear agreement to continue our access to their unique CTD viewing at the glass level. Within digital, our partnership with IRI brings their CPG segments into our activation offering. We believe this is a big win for both of our businesses. It provides IRI with a privacy forward way to activate key segments in a cookie free manner. And it provides comScore with a key segment of CPG audiences that can be transacted on across the programmatic ecosystem at scale. Our ability to deliver a holistic view of both content and ad consumption throughout the home is a critical differentiator of what comScore delivers for our clients every day. The combination of our census base TV coverage, which includes more than 70 million TV sets 35, million households and nearly 13 million smart TVs, along with our census base digital coverage, and the industry’s only Total Home panel is what sets comScore’s ability to our customers apart. Regarding our CTV capability specifically, there are two ways in which you can get connected TV information at scale. One is directly from publishers by attacking or server-to-server integrations or through ACR technologies from smart TVs, we do all of them. Unlike others who try out their CTV capability, comScore measures both ad and content consumption. And because we have a combination of set top box, panel and CTV, we are able to deliver an unduplicated view of consumption. This isn’t a new offering for comScore, we introduced our over the top measurement capabilities in 2015. And we have been collecting and reporting on holistic view of media behavior for years continuing with our history of innovation, and giving comScore a leadership role to deliver on a holistic product suite across content and ads. This is comScore competitive advantage, complete coverage and content and ads, and a very large installed base of both buyers and sellers of media that use our services everyday to run their businesses. Despite all of the press in the marketplace, trenching new currency offerings. The reality is, there is only two companies that deliver the full suite of capabilities across the media landscape, period and comScore is one of them. Our sensors base TV and digital scale, coupled with our total home panel means that comScore can deliver what no one else can, the ability to get a cross platform view of digital, CTV and linear consumption, where our clients can precisely reach their desired audiences in contextually relevant experiences. This can be done in a privacy forward way through our activation products, which allows our clients to optimize their spend their ad delivery, and the measurement outcomes because of our ability to deliver deduplicated audience reach. It is clear that we have the most complete cross platform offering along with the highest coverage of CTV, video content, and video ad inventory available in the market. Taking this a step further, in today’s privacy forward market, the ad tech industry has struggled, finding cookie free tactics that will allow them to maintain campaign performance and KPIs that advertisers have become accustomed to. Building on the contextual targeting foundation. So brand safety, and IAP category in keyword targeting, comScore is reinventing contextual targeting with the addition of predictive audiences. Predictive audiences is contextually delivering, targeting, making privacy forward and providing a crosswalk between audience behaviors and contextual signals. This is a massive step forward for the industry, enabling advertisers to maintain their KPIs without cookies. comScore is leveraging this technology, not only for our own audience information, but complimentary for our data partners, providing them with a cookie free path to surface their segments in the marketplace. Before turning it over to John, I want to reiterate that we are laser focused on executing against our key priorities aimed at delivering profitable growth. comScore measures content and ads. It is what we do best. And the success that we are having across the markets we operate in with new clients wins, new partnerships, and renewal with our long standing media and agency clients gives us confidence that the opportunity is large for us. We are developing world class products that are privacy forward and cookie free. We will be ready when the market shifts with our product offerings in the space. Returning to growth in digital is a key priority for us. And it is critical to our growth story going forward. Our product and our commercial focus here, aligned on new solutions group is just the beginning. Our currency efforts and momentum were seen in the market under parallel hence leadership that led us to the NBC announcement on local and our double-digit growth to start the year and our cross platform solutions group. Finally, as I transition from CEO, I’m confident in our team’s leadership efforts and then continuing deliver against these priorities as we move throughout the year. And I could not be more excited about the opportunity that is in front of us. With that. I would like to turn it over to Jon. Jon.
Jon Carpenter: Thanks, Bill. And it is good to be with everyone this evening. As Bill mentioned, we turned in a solid print for the quarter revenues of 94 million, were up 4% versus the same quarter a year-ago. Adjusted EBITDA of 6.8 million was up 22% versus a year-ago. Diving into the solution grips a bit further. Cross platform solutions grew by 10% from 37.3 million in the first quarter last year to 40.8 million this year. Growth here was driven in large part by double-digit growth and our TV measurement efforts. Within that group, we also accelerated growth and our movies business, which grew by 20% year-over-year from 6.8 million in the first quarter last year to 8.2 million this year, as the business continued to see strong recovery following the pandemic. Digital ad solution revenues of 53.1 million or essentially flat versus the same quarter a year-ago, which included a onetime upfront revenue item. Growth n our activation offering which was up 20%, our custom digital offerings as well as execution assuredly are key highlights in the quarter. All in all, we are pleased with the way we started the year from a revenue and EBITDA perspective, as well as from a cash perspective. And we are reaffirming our 2022 guidance for both revenue growth and the adjusted EBITDA margin rate. With that, I will turn it back over to Bill.
Bill Livek: Thank you, John. And I thank all of you for your support. And I thank you for trusting us with some of your investment. Operator with that let’s open up the line for questions. Operator.
Operator: [Operator Instructions] Our first question or comment comes from the line Jason Kreyer from Craig-Hallum.
Unidentified Analyst: Hi guys. [Colin] (Ph) Kelly here for Jason. I just had a couple questions. So starting up, as you head here into upfront, what are your thoughts on comScore’s ability to be more visible and transactions this year?
Bill Livek: Well, that is a great question, the upfront - there has been a lot more press releases, I think then often activity. I think, coming through the upfront, you are going to see comScore coming out of it playing a far more important role in the transacting of advertising. We are pretty excited what we are hearing from our clients on that. I don’t know if there is anything else I can add to answer that question.
Unidentified Analyst: And then just my second question here. So given the back end wedding of the year, what’s your confidence in that ramp up here in 2022?
Bill Livek: Jon.
Jon Carpenter: Yes, I think like I said in my comments, we feel good about the way the year has started delivering against what we said we would, which puts us in good position to continue executing as we go throughout the year. So I would say we have got some real encouraging momentum here as we head into the last three quarters of 2022.
Operator: Thank you. Our next question or comment comes from the line of Matthew Thornton from Truist Securities. Your line is open.
Anthony Duplisea: Hey, guys, it is Anthony Duplisea on for Matt, thanks for taking the question. How should we think about the impact of the Comcast NBC Universal deal on the full year guide? Just in terms of normal impact, as well as you know, Cadence? And then apologies if I missed this already, but can you give us an update on the MRC accreditation process? And kind of where that stands?
Bill Livek: Yes, I will start with the MRC first. The MRC is progressing well. As you know, while we are in the process for the accreditation for local and national TV services. How are the announcement I think is the question in local affecting our guidance. Clearly, it is positive. We see a lot of momentum in the local market. We are not just excited about it. I just came back from the National Association of Broadcasters conference. And it was nice to meet station groups that we hadn’t seen since the lockdown in person, even though we are on zooms with them all the time. In the field, the momentum of the shifting of not just with subscriptions, but to do deals, we see more local agencies signing on with us, we see the usage in national agencies. So we feel really good. When it comes to guidance I always turn that over to Jon to answer.
Jon Carpenter: Yes, look, I think the momentum we are seeing there with new business wins across both the local and national landscape have been encouraging. As you saw in the first quarter, we started the year strong with a nice double-digit print there and I expect the momentum to carry forward as we go throughout the year.
Anthony Duplisea: Thanks guys.
Operator: [Operator Instructions] Our next question or comment comes from the line of Surinder Thind from Jefferies. Your line is open.
Surinder Thind: Good afternoon. The question about the resegmentation of the business into digitalized solutions and cross platform solutions. Can you talk about the decision to change the presentation format and then maybe what your expectations are for the outlook for each of the segments for the remainder of the year?
Jon Carpenter: Yes, I think we provided kind of a range in the in the operating materials in terms of what our expectation is on the guide, Surinder. Surinder, in terms of the rationale, look, this is a way that we are operating our business day-to-day it aligns more with the competitive landscape that is out there on the digital front with our syndicated digital business really competing against a different set than say, our cross platform set of solutions. And so the way we think about aligning that is along those lines. Like I said, I think the guide for cross platform solution is, high single-digit to low double-digit range. And then on the digital additional solution side, it is really about a guide towards, what I would call low single-digit to mid single-digit, if you will.
Surinder Thind: Fair enough. And then in terms of just as we think about changing economic conditions, can you maybe talk about the sensitivity to ad spend, and how revenue being back half waited? How your outlook - the sensitivity of your outlook, I guess, if there is a slowdown in ad spend, or how do we should think about that?
Bill Livek: Great question. The only good thing about being retirement age is I saw this similar thing unfold in the 70s, late 70s, when we had super high inflation, we had an economy that was strong, but it set us off into an awful recession. And it did affect ad spending. I hope we don’t go into a recession. But if we do, one thing I did learn the information services business become far more valuable in that environment. And let me explain why. The sellers of media who pay us a great deal of money, they need us actually more, because they are fighting for every dollar, not just the incremental dollar, every dollar to transact on. And I believe, where the status of comScore is a must have in this current environment. Going in that environment, I think we are doubling down on a must have for clients who don’t currently subscribe. So and ad recession is awful, make no mistake about it for customers. But it is something that I think we are well positioned to thrive in that environment. The buyers of media have a very similar dynamic, where they have more pressure on accountability. And our suite - like our CCR suite of accountability plays right into that theme. So I hope we don’t get there. But I think we are going to be in a good position with or without it. We set our guidance with the expectation before the current economic data has been coming out. But I will tell you if history is any guide, I feel good about our guidance.
Jon Carpenter: The only thing I would add to, I mean, we sort of we feel good, given the largely syndicated nature of the contracts that we have. Beyond that, just to add what Bill said, look, our offerings, in many ways are helping buyers and sellers of advertising get the best ROI and outcomes. And if you think about what our product offerings are, they do exactly that. They provide return on ad spend, clarity and outcomes that that our clients are looking for. And so I think, in a scenario where there could be or maybe a little bit of pressure on the ad spend, we feel good about our product offering, coupled with the syndicated nature of the contracts.
Surinder Thind: Got it, that is helpful. And then maybe one kind of final question here, just on the cost of revenues I think we have talked about it a number of times in the past - over the past year plus. Obviously it starts off high in the year. Can you talk about how the how that - the trajectory of how we should think about that line item should go over the course of the year and how much is kind of embedded in - is just seasonally higher this quarter?
Bill Livek: Yes. I think look our - if you are talking about the cost of goods line that was essentially in line with our expectation. I don’t expect a lot of variability here as we move throughout the year Surinder. So I think we feel good about where we are at, again, in line with what we had expected for the first quarter.
Surinder Thind: Okay. That is it for me guys. Thank you.
Jon Carpenter: Thank you.
Operator: Thank you. I’m showing no additional questions in the queue at this time. I would like to turn the conference back over to management for any closing remarks.
John Tinker: Thank you very much, operator. We appreciate it. And thank you all for joining us today. We look forward to our next earnings call. And like always, I want to thank you for your investment in comScore. And have a great evening. Take care.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes the program. You may now disconnect. Everyone have a wonderful day.